Operator: Dear ladies and gentlemen, welcome to the presentation of the Q1 figures 2022 of DIC Asset AG. Today's call is being recorded. I now hand you over to the host, Sonja Wärntges, CEO of DIC Asset AG.
Sonja Wärntges: Thank you. Good morning, ladies and gentlemen, and a very warm welcome to the DIC's First Quarter 2022 Results Conference Call. As always, I'm here with my colleague, Patrick Weiden, CCMO of DIC Asset; and the colleagues from Accounting and Investor Relations. As usual, we will give you a short presentation of our results, and highlights for the first quarter 2022, followed by a Q&A session. Ladies and gentlemen, our start was very successful as well as from the operational and from the strategic side. We are on the way to best-in-class on many levels. Let me highlight some milestones that we have reached. We comped our first 3 acquisitions in other European countries for the third logistics fund, and we will continue to push ahead with this in the future. The acquisition of VIP Vermögen AG is a key factor in our strategy and is along our way to become the national champion for logistics and offices in Germany, now managing assets of more than EUR13 billion. We have also made significant progress in our ESG strategy. This was just recently also certified by leading ESG rating firms. A good start into the year led to a slight FFO increase to EUR26.7 million. Our letting teams performed very strongly in the first quarter and signed a total of around 65,500 square meter on site. Around 40,000 square meters were led to the Deutsche Bank in Frankfurt. All in all, we saw a strong like-for-like rental growth of 3.3% on our real estate platform. The lease expiry volume in 2022 was therefore reduced to 1.5%. The AMG, which was held on the 24th of March, approved the dividend proposal of EUR0.75 per share. For 41% of our shares, the shareholders chose the scrip dividend option. Since our strategic decision to increase our logistics exposure back in the summer of 2020, we made a lot of progress there. Now we successfully closed our first logistics investments outside of Germany. In total, we bought 3 assets, a total investment cost of around EUR171 million for the RLI-GEG Logistics & Light Industrial III institutional fund, which was launched this year. In addition to classic core/core-plus logistics real estate, this fund invests in light industrial and urban logistics real estate. With these investments, we have positioned ourselves in the Netherlands, the European Heartland and we are close to all major transport and trading routes. In addition, we bought one logistic property in Germany in a metropolitan area Cologne, we announced this acquisition yesterday. With this latest acquisition, the fund is already up to around 80% of its planned targeted volumes. Besides this organic growth, we have also driven the inorganic expansion and reached good milestone with the maturity takeover of VIB Vermögen AG end of March. We have entered into a business combination agreement with VIB and have determined the key points for future collaboration. Currently, we are in the process of reviewing the total portfolio of VIB, which will be part of the commercial portfolio going forward. Within the balance sheet investments, our commercial portfolio, logistics will play a dominant role in the future. Saying this, we will see the fully consolidated results in the second quarter. End of March, we show our stake of 36% under the investments in associates amounting to around about EUR514 million. And also, last but not least, we warmly went roughly 40 VIB employees to the DIC family and are looking forward to the expertise in logistics. Together, we will open a new chapter and we write another success story. Ladies and gentlemen, we have made a lot of progress in our ESG activities and were, therefore, awarded with the best-in-class result from the renowned international rating agency, Sustainalytics. We understand ESG is a key element in our daily working processes and implemented ESG measures in all units of our organization. With an overall score of 9.2 ESG risk rating, DIC counted among the top 3% within the real estate industry during the last reporting period, ranking 25th out of 1,046. And among the top 5%, 6 out of 160 among the real estate management companies. We also achieved a significant improvement in our S&P CSA rating for 2021 as we were able to increase the score by 8 points to 26. By the way, we publish our next sustainability report next week, and the report will include our historical performance, but also more important, also a new set of qualitative and quantitative ESG targets. On our next slide, you see development of our main income stream. Our income stream showed further growth year-over-year. Driven by our strategic and operational excellence, our net rental income increased by 8% year-on-year to EUR21.1 million in the first quarter. The net rental income increased in particular due to the good letting performance and the acquisitions over the last 12 months. The ongoing expansion of our institutional business led to an increase of real estate management fees by roughly 6% to EUR25.4 million. While asset management, property management and development fees were slightly up at EUR8.6 million, the transaction fees rose stronger to EUR16.8 million. In addition, we generated income from associated companies of EUR4.5 million, in particular due to the higher contribution of transaction-related income from investments. The profit for the period adjusted for nonrecurring effects reached EUR14.4 million below the previous year mainly due to the much higher profit on disposals at the beginning of last year. Now let's look at the details of the development of the FFO. As mentioned, compared to the previous period, the main income streams, net rental income and real asset management fees increased. Our OpEx increased in line with the growth of the platform. Additional costs derived from the takeover of VIB, and were adjusted within the FFO calculation. The net interest result decreased due to the new financing in 2021 and therefore, higher volume of debt compared to the previous period. The growth of our main income pillars over exceeded the negative effect from OpEx and the net interest results. In total, as mentioned before, our FFO reached EUR26.7 million. The FFO II is at the same level as we only had negligible disposals in the commercial portfolio in the first quarter. Let's look at our valuation and adjusted NAV, which takes into account both the value of our balance sheet portfolio as well as the full value of our asset management business. The successful growth of our integrated real estate platform and our strategic expansion of the logistics asset class was already reflected in the year-end 2021 valuation. Therefore, the change on the NAV per share as of end of March 2022 was mainly driven by the comprehensive income in the first quarter. The adjusted NAV as of the balance sheet date reached EUR25.8 per share. On the next slide, I just want to give you the usual quick update on our financial structure. Our financing activities are far cited and increasingly green. As of the balance sheet date, the loan-to-value increased by 660 basis points, mainly due to the ongoing takeover of VIB in the first quarter. Factoring in the full value of the institutional business, the adjusted LTV stood at 47.8%. One of our main priorities after the takeover of VIB is the reduction of the group LTV towards our strategic level of below 50% in the next month. As of the balance sheet date, we had already drawn EUR285 million out of the VIB bridge loan to finance the acquisition of 36% of shares of VIB. An additional EUR250 million were used at the end of -- at the beginning, sorry, of the second quarter to fund the remaining.
Operator: [Operator Instructions].
Sonja Wärntges: Ladies and gentlemen, sorry for the interruption of technical problems. We were on Slide 9, and I discuss the financial structure. As of the balance sheet date, we had already drawn EUR285 million out of the VIB bridge loan to finance the acquisition of EUR0.36 of shares of VIB. An additional EUR215 million were used at the beginning of the second quarter to fund the remaining VIB share acquisition to a total of now 60%. The bridge has a maturity of 2 years and gives us sufficient flexibility. Therefore, we do not have any short-term pressure to refinance the transaction either via a new debt instrument nor via capital increase, especially not in the current market environment. With the liquidity of more than EUR450 million cash and the sales price for the uptown coming, also the flexibility of our platform business model, we will work on the deleverage of our balance sheet. Nevertheless, we continue to have a close look on the capital markets and will use a possible open window at a later point in time. Ladies and gentlemen, we just published our new guidance a couple of weeks ago, including the VIB contribution for 9 months, which we confirm today. We are currently in the process of including the VIB portfolio into DIC's commercial portfolio and consolidating the numbers. This also includes a deep look into the valuation of the VIB portfolio during the next weeks. So this was my presentation. Thank you for taking the time to join our conference call today. And now we are happy to answer your questions.
Operator: [Operator Instructions] Our first question today comes from Andre Remke from BW Bank.
Andre Remke: A couple of questions from my side. Would prefer to do it one by one, starting with transaction market and your view on that. Did you already experience some reluctance so to say, of clients to invest at this point in time, given the macro risk and probably higher alternative interest rates?
Sonja Wärntges: I think it's the most important and interesting one at that point of time. So if you look at the transaction market on the first quarter, you see that the volume has doubled versus the first quarter last year, including the [Indiscernible] transaction. But anyway, it's even more than in the first quarter last year. And I think that shows with 50% office and 24% of logistics that we are on the right way. And it also shows that the confidence in the German market is there. So you see that foreign investors are coming back because of corona is -- has an answer to say, people from other countries can come to Germany and have a look at the assets and so on and travel again. So I think we will see a dip there because of the war and the uncertainty which is in the market. But I think the numbers for the first quarter show that on the long run, the German investment market is attractive. It will be attractive, maybe with a little bit lower prices. But office and logistics are, yes, still a remaining basis in the investment market. And at the end of the day, it is driven by users and tenants. And as we also saw in the first quarter, this is a very fundamental basis but a very stable basis in Germany.
Andre Remke: And did you not experience any questions or more evaluations by your clients? Because they get offered now 150 bps higher alternative investment. So are they completely relaxed or are they your clients in a wait and see mode at the moment?
Sonja Wärntges: I think it's a little bit difference in the client itself. So you have, on the one hand of family office, they are looking even more on attractive investments than in the past. You see some of the pension funds, they are a little bit in wait-and-see position and discussing what they are doing. And then you have all the banks which have to invest in assets, in real estate assets. And they are also looking very deeply in what happens. But I think altogether, think that real estate investments are stable on the long run, we expect that the prices will go down a little bit. But at the moment, we don't see it. But with the inflation and the interest rates, being as high as they are in the moment, the market has to change. And this -- also the institutional funds are expecting. So I think if you buy something now, you have to do a very clear business plan. And this are, at the moment, lower yields than we had in the past. On the other hand, we think it will come back in the third or fourth quarter. So we will have to deal with the new situation. Nobody knows how it goes on with the war in the Ukraine. And I think this will be the most important point for all the other parts in the business. But we see not a very negative, yes, behavior at the moment. It's more a wait and see.
Andre Remke: So from this point of time, you do not have any concerns on your given guidance ranges when it comes to acquisitions and disposals, so you are quite confident to reach this and not to come in a situation like with or breakout COVID crisis 2 years ago that we will see the same behavior by investors?
Sonja Wärntges: As I explained, we see a different picture here. And I think with our platform, we are able to use the different pictures or different views from investors on the market. And we see that they are very different, as I explained some minutes ago. So we have now bought VIB. So we have grown our commercial portfolio a lot, so to say. We are in the phase to look at the values there and how the numbers look like after the consolidation. The VIB is team doing evaluation at the moment. So we are waiting for the numbers there, and then we will decide what we do for the rest of the year. What we see is that -- or what we think is that we will advise some of our institutional investors to maybe sell some of their investments when they are at a very attractive at the moment. So I think we will have, at the end of the year, a little bit more of selling activities. But as far as for the transaction and the acquisition side, we have bought 60% of the stake. That means more than EUR1.5 billion with today's evaluation of assets. And I think we have done a lot of transaction in the first quarter for the rest of the year.
Andre Remke: And next question is on the refinancing. You mentioned that you are not in a hurry to refinance it because you have 2 years' time. One simple question, the bridge loan until 2024, is it that the fixed rate or it's a floating rate?
Sonja Wärntges: No, we have some steps included there. So we are on a very, very low level at the moment compared to today's interest rates. And even the highest one is for us very attractive. They've had some discussions with the banks for sure. But at the end of the day, we have this bridge loan on attractive conditions. Nevertheless, we will work to refinance it because we do not want to have this bridge loan on the long run, but we have bought the time to do it if it's appropriate. So at the end of the day, it's a good -- it was a good discussion for us and a good interest rate and also the increases over the next 18 months in 3 steps will not bring us to extensive interest rates.
Andre Remke: And lastly, on the consolidation of VIB, could you provide any indications of goodwill from the transaction? And as far as I would assume, you will revalue the portfolio of VIB. Do you already have a pipeline in your mind? And lastly, do you consider for DIC in total to change your cost valuation to a fair value methodology as already [Indiscernible]?
Sonja Wärntges: So first, VIB is having a look into its valuation, not we. So we will see what comes out of this, and we expect this, yes, end of May, beginning of June to be ready in the first step, but there's a lot of assets which you later have to look at. At the end of the day, I cannot say what the numbers look like, but you can imagine that we have had a lot of thoughts into the right price for us. What we have to invest in VIB not to pay more than we want to not to pay more than it's worth. So we expect the respective number to come out from this valuation from the valuators of VIB. But at the end of the day, we will see it when the numbers come. But we are sure that we see the right number in there. And this is in line with our sales price for the shares. The fair value accounting, I think it would be the worst time to change our accounting method at that point of time into fair value. So we are happy that we had the cost accounting in the past, and we will stay with the cost accounting in the future. No need and no chance to change it at the moment. And we also will look and discuss with VIB what they are doing in the future.
Andre Remke: You told us that [Indiscernible] guys are looking into their own valuation, but they already at a valuation at year-end last year. And is it not a topic of an external [Indiscernible]?
Sonja Wärntges: Yes, an external valuator. They have hired an external valuator and they are doing devaluation. And then, yes, as usual, discuss this with VIB and then we will see what VIB says and they evaluate had found out about values and assets.
Andre Remke: And the appraiser is a new one in comparison to last valuation at year-end '21?
Sonja Wärntges: Yes, it's an international big company who will look at this.
Operator: Our next question now comes from Stefan Scharff of SRC Research.
Stefan Scharff: So Andre took most of the questions. Just a little follow-up about the financing of VIB Vermögen. You have about EUR500 million to finance and your plan is still, let's say, EUR400 million to -- by debt products and EUR100 million about new shares, about an equity issue. Is that a good assumption? Or is this still the ratio we should expect?
Sonja Wärntges: Stefan, yes, Andre had the right questions, I can confirm this. So yes, it was our plan. So we said when we did the transaction, we started the transaction to buy the maturity stake in VIB that we will refinance this on the one hand with 10% capital increase and on the other hand, with capital markets debt financing. And this is still the plan. But at the moment, it does not -- it's on an economic perception, it's not possible from our side. And as said, we are not in a hurry. We have the time for the refinancing. But if you look at our balance sheet, you can see that we have a lot of liquidity, more than EUR450 million at the end of March. So we expect or not we expect, we have also got the sales price of the replacing of the Uptown Tower, and so we have a lot of liquidity on our balance sheet in our bank accounts. And with our business model, we have the possibility to refinance it also in another way, not only by doing a capital markets refinancing, but we look at the market and we have some time, and so we will decide on a later point of time what we do and how we pay this back.
Stefan Scharff: So even if that product or an equity hike come at a later point, you still have the possibility and you still have the financial scope to grow your portfolio on a quite steep growth path?
Sonja Wärntges: Definitely.
Stefan Scharff: Another question is about your acquisition outside Germany, the Netherlands. So what was your experience here? And what may be expected to come in the other quarters of this year? Let's say, Belgium or Luxembourg, is this also a topic and what to expect here?
Sonja Wärntges: We have 2 funds in place, which can invest in the European market, not only in Germany. And so we have started with logistics because we think that the ways for logistics expect also foreign investments, and therefore, we have made a market entrance in the Netherlands for the first or at first. And this was not easy. So we have to learn a lot about taxes, accounting and so on, but also we got the trust from the investors -- our institutional investors, but also from the investors who sold us the assets that they trust in us and that they are confident we can do it. And therefore, we bought the 3 assets in one time, so to say. And we are looking in the market. But at the end of the day, we only do it if it's appropriate. And therefore, you can see the yields, the different yields in the different countries. And if you look on the yields of logistics in Germany, you can see that they even or that the assets are even more expensive than they were 3 months ago. So I think makes sense to look in Belgium, to look in Austria, to look in the Netherlands, maybe also in France or Spain. But at first, at the moment, we have a lot to do with integration of VIB and not expand in other European countries for the moment.
Stefan Scharff: As you reported yesterday, the [Indiscernible] deal, what is your general assumption for the yield compression? Or is there still a yield compression to come in logistics markets?
Sonja Wärntges: I think when we started our thoughts of -- to grow also in logistics, we had yields of 6%. Now we have year of 3.5%, and it's even near to office. So the yield compression is there and it will stay there. Even if you look on the war and corona, it's yes, it's a driver for logistics and therefore, for the yield compression. And I think we said we want to have 1/4 of our portfolio of logistics assets because of this attractive market and with closing of VIB, we are nearly there I think. So at the end of the day, it was the right decision to go into logistics markets and we have the possibility and the trust to grow there. And in combination with office, it's the really right thing to do at the moment.
Stefan Scharff: One last question is Slide 7 of your presentation, it's the FFO bridge. And you mentioned there, EUR3.8 million others in adjustments of VIB transaction costs. Perhaps, you can say a little bit more here.
Sonja Wärntges: It's -- as always, if you do a transaction, it's adviser and all the guys who assisted us in getting this transaction done.
Operator: [Operator Instructions] We now move on to Manuel Martin of ODDO BHF.
Manuel Martin: I have two questions, maybe one by one. The first question would be on the rental market. According to your presentation on Page 2, we have learned that the letting performance was up year-on-year. However, mainly driven by 40,000 square meters from Deutsche Bank. Could you elaborate a bit on the rental market because we felt that huge rental transaction seems to be rather muted first quarter. Is that in line with the market, or maybe you can tell us a bit about that?
Sonja Wärntges: Yes, if you look on the letting market on the first quarter, it's also a different picture. So what we see is that it took even longer to get the things done. If you have German companies who want to rent, it's much more easy than if you have foreign companies. So the best thing is to have a company who wants to rent in the town where they rent. So it's very different at the moment. On the other hand, with this big contract, we have, on the one hand, a renewal on the other hand, a new letting there, and we have the new work concept here. And I think it's a very good example of what's going on in the letting market at the moment. So everybody is thinking about your work, how do I bring the people back in the office, what do they want and so on. And also a company like Deutsche Bank is sinking a lot of this. And we see it in general that there are more smaller searches in the market. And these are not also the company want to reduce their spaces, but they want to expand and are searching for additional spaces where they can be more flexible, so 1,000 square meters, 1,500 square meters, and in addition to their existing office space. So I think this is the lack of co-worker, which is now there. So in the past, a lot of companies have used co-workers for this expensation. And they are not there anymore, so they want to rent their own spaces in square meters of 500 to 1,500. So I think that's the most important market at the moment. There are big searches in the market, but it takes a long, long time to get the contract done. And with all the different problems, corona, Ukraine war and so on, it's always a lack of time of 2 to 3 works to think about this and to decide that they want to go on. And so the market is there, but it takes much more time and much more work to get it done.
Manuel Martin: And a follow-up on that, any impact on rental prices or tenant incentives?
Sonja Wärntges: At the moment, we do not see an increase of incentives. So as you see, we have a 3.3% like-for-like rental income plus, so to say, even in our commercial portfolio as well as on the institutional business side. What the question is, is shorter lease contracts. Not everybody is asking for 10 to 15 years. In the public market, yes, but in industry market, not. So they are thinking of shorter times of 7 to 8 years, maybe 5 years, but it's not a question of incentives or rent.
Manuel Martin: My last question, maybe I missed the point. On Page 6, you illustrated that the income from associated companies increased to EUR4.5 million from EUR2.5 million last year. Could you give us a detail on that, or was there a special reason for that increase?
Sonja Wärntges: This reflects the replacement of the Uptown Tower. So there because it was warehousing and we have shares there, we have the increase when we brought it out in the first quarter.
Manuel Martin: Maybe I've been a bit slow this morning. So you placed the Uptown Tower, the Uptown Tower disappeared from the balance sheet from warehousing. That's what I saw and then you booked a special profit from that and that appeared in the result, or how can I understand that?
Sonja Wärntges: Yes, we had -- until end of March, we had the Uptown in our balance sheet. And then we sold part of Uptown, so it was not sold to one investor, but step by step. And so therefore, we had it as an associated company in the meanwhile. And therefore, when the other stakes went out, we have income from this associated company. At first, we consolidated it and then we had -- yes, we had it at equity in the balance sheet. When we sold the last steps, we have now around about EUR10 million to sell, it was income from associated companies.
Operator: We now take our next question from Philipp Kaiser of Warburg Research.
Philipp Kaiser: Just a small follow-up on the financing side. So as you mentioned, you have a comfortable liquidity position. So there's no need and no hurry regarding the capital increase, so we can kind of bridge financing it out of cash. So assuming there were no capital increase until year-end, would that have some implications on the target LTV by year-end? And on your acquisition pipeline for the commercial portfolio during the year. So what you might kind of, yes, lower your acquisition targets for the commercial portfolio due to the kind of bridge financing with cash given the current circumstances? That would be helpful.
Sonja Wärntges: So as I said, I think we have overfulfilled our acquisition target for the commercial portfolio was buying a 60% stake and getting all the values of the assets in our commercial portfolio in the first quarter. For the refinancing, yes, I think it's the worst case that we have the bad market conditions until the end of the year here in place. We hope that it will go better in the third or fourth quarter. But if it's not appropriate, we will not do a capital increase, yes. So that's what I said in the past, and that's what I'm saying now. It has to make sense. On the other hand, we are working on our deleverage as also said, and I think with the platform and our different possibilities here in the institutional business as well as on commercial portfolio, we have some ideas how to deliver and how to get LTV down.
Operator: [Operator Instructions].
Sonja Wärntges: I'm awfully sorry for this interruption. We will clarify this, sorry. Yes, to answer your question. So as said, the plan was to do a capital increase and to refinance the bridge in capital markets investment. But at the end of the day, it's not appropriate. We have our plans, what we can do to bring the leverage down until the end of the year with our business model, we think that should be work or it should work. And we have also other ideas how to come there. But as I said, we have to have clear picture on VIB, the consolidation of the numbers and how it looks like, and then we will decide what we do. And hopefully, the market is coming back in Q3, Q4, and we will do the refinancing then step-by-step with the different possibilities we have.
Operator: As there are no further questions in the queue, I'd like to hand the call back over to you for any additional or closing remarks.
Peer Schlinkmann: It's Peer speaking. Thank you for joining us today for our conference call and presentation of the Q1 results. As usual, if you have any follow-up questions, please don't hesitate to contact my colleague, Max or me. We are available the whole day. Thank you for taking the time today. Bye-bye.
Operator: Thank you. This concludes today's call. Thank you for your participation, ladies and gentlemen. You may now disconnect.